Operator: Good day, everyone. And welcome to the Cintas Second Quarter Fiscal Year 2022 Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Paul Adler, Vice President and Treasurer, Investor Relations. Please go ahead, sir.
Paul Adler : Thank you, Vanasan. And thank you for joining us. With me is Todd Schneider, President and Chief Executive Officer; and Mike Hansen, Executive Vice President and Chief Financial Officer. We will discuss our fiscal 2022 second quarter results. After our commentary, we will open the call to questions from analysts. The Private Securities Litigation Reform Act of 1995 provides a safe harbor from civil litigation for forward-looking statements. This conference call contains forward-looking statements that reflect the company's current views as to future events and financial performance.  These forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ materially from those we may discuss. I refer you to the discussion on these points contained in our most recent filings with the Securities and Exchange Commission. I'll now turn the call over to Todd.
Todd Schneider: Thank you, Paul. Our second quarter financial results were led by a strong revenue increase of 9.4%. Our financial results are indicative of our compelling value proposition, vast total addressable markets, and the outstanding execution of our employee partners. I thank our partners for continuing to navigate these challenging times by focusing on our customers. The benefits of our strong top line growth flowed through to our bottom line. Excluding last year's $18 million pretax gain on the sale of certain operating assets and Uniform Rental and Facility Services segment and the related tax benefits, second quarter operating income margin increased 70 basis points from last year, and EPS grew 16.5%. These results are especially significant given that they were achieved in a period in which U.S. inflation hit a 39-year high. Uniform Rental and Facility Services operating segment revenue was $1.54 billion compared to $1.41 billion last year. Organic revenue growth was 8.5%. The labor market is challenging. However, we are benefiting in the current environment. Businesses are struggling with the scarcity of labor, which has left many understaffed. Also, businesses have a heightened awareness of safety and cleanliness and are concerned with their ability to properly sanitize amid persistent COVID infections. Businesses are increasingly outsourcing to Cintas, so they can focus on their core competencies and be Ready for the Workday.  And it is noteworthy that the U.S. still hasn't recovered about 4 million pre-pandemic jobs, and the job openings totaled about 11 million. Return of jobs represents future revenue growth opportunity for Cintas. Our First Aid and Safety Services operating segment revenue for the second quarter was $202.2 million compared to $194.4 million last year. Organic revenue growth was 3.2%. Second quarter revenue was up against a difficult comparison. In last year's second quarter, in response to the COVID-19 pandemic, sales of personal protective equipment, or PPE were very high and the business grew organic revenue 14.5%. At that time, PPE comprised an outsized percentage of First Aid and Safety Services revenue mix.  The amount of PPE has declined year-over-year as expected. However, COVID infections are still prevalent and PPE remains a larger percentage of the revenue mix than it was pre-COVID. Over the same period of time, the recurring first aid cabinet service business revenue has increased. In fact, it is up 20% from last year. We welcome this shift in mix because First Aid cabinet service business is a more consistent revenue stream and has higher profit margins than PPE. Our Fire Protection Services and Uniform Direct Sale businesses are reported in the All Other segment. All Other revenue was $184.9 million compared to $152.1 million last year. The Fire business organic revenue growth rate was 16.9%, and the Uniform Direct Sale business organic growth rate was 47.3%. Both businesses benefited in part from an improved economic environment. Regarding our balance sheet and cash flow, our financial position remained strong. Second quarter operating cash flow increased 27% from last year and free cash flow improved 16%. Recently, on December 15, we paid shareholders $98.5 million in quarterly dividends. The amount per share of common stock paid of $0.95 represents a 26.7% increase over the company's previous quarterly dividend. We continue to allocate capital to improve shareholder return. Now before turning the call over to Mike, I want to highlight that we recently issued our 2021 environmental, social, and governance report. Cintas was founded on a sustainable business model. We are committed to protecting the environment, enhancing humanity, and maintaining accountability.  The report, our second consecutive provides expanded information and data, including our reductions in energy usage, water consumption, and Scope 1 and Scope 2 emissions. Our ESG report further illustrates that our corporate culture based on doing what is right and challenging ourselves to improve is a competitive advantage. I'll now turn the call over to Mike.
Mike Hansen : Thank you, Todd, and good morning. Our fiscal 2022 second quarter revenue was $1.92 billion compared to $1.76 billion last year. The organic revenue growth rate, adjusted for acquisitions, divestitures, and foreign currency exchange rate fluctuations was 9.3%.  Gross margin for the second quarter of fiscal '22 was $885.1 million compared to $819.9 million last year. Gross margin as a percent of revenue was 46% for the second quarter of fiscal '22 compared to 46.7% last year. Gross margin percentage by business was 46.8% for Uniform Rental and Facility Services, 43.5% for First Aid and Safety Services, 44.6% for Fire Protection services, and 39.1% for Uniform Direct Sale. Energy-related expenses were a headwind, increasing 40 basis points from last year. Also, we made investments in labor to support our strong current and anticipated revenue growth. Selling and administrative expenses improved as a percentage of revenue to 26.2% in the second quarter compared to 26.6% last year, operating income of $381.2 million compared to $352.9 million last year. Operating income margin was 19.8% compared to 20.1% reported last year. Excluding last year's second quarter $18 million gain on sale of certain assets, which were recorded in selling and administrative expenses, this year's second quarter operating income grew 13.8% and operating income margin increased 70 basis points. Our effective tax rate for the second quarter was 18% compared to 13.3% last year. The tax rate can move from period to period based on discrete events, including the amount of stock compensation expense. In addition, last year's second quarter tax rate included a 370 basis point benefit from the sale of certain assets. Net income for the second quarter was $294.7 million compared to $284.9 million last year. Diluted EPS was $2.76 compared to $2.62 last year. Excluding last year's second quarter gain and the related tax benefits, which impacted diluted EPS by $0.25, this year's second quarter diluted EPS of $2.76 compares to $2.37, an increase of 16.5%. We are increasing our fiscal '22 financial guidance. We are raising our annual revenue expectations from a range of $7.58 billion to $7.6 billion to a range of $7.63 billion to $7.70 billion, and diluted EPS from a range of $10.60 to $10.90 to a range of $10.70 to $10.95. Please note the following regarding our guidance: Fiscal '22 effective tax rate is expected to be approximately 19% compared to a rate of 13.7% for fiscal '21. The higher effective tax rate negatively impacts fiscal '22 diluted EPS guidance by about $0.72 and diluted EPS growth by about 700 basis points.  Guidance does not include any future share buybacks, and guidance assumes an uneven economic recovery caused by COVID-19. However, guidance does not contemplate significant COVID-19 pandemic-related setbacks such as stay-at-home orders or cost necessary to comply with government COVID-19 mandates. Finally, when modeling our fiscal '22 financial results by quarter, please note that in last fiscal year's third quarter, we were able to help our customers respond to a spike in COVID-19 cases by providing them with various supplies of personal protective equipment, gloves, in particular. We provided more personal protective equipment in that quarter than in any other. Excluding the PPE that we don't expect to repeat, our second half of the year revenue growth guidance is over 9% at the top end of our range.
Paul Adler: That concludes our prepared remarks. Now we are happy to answer questions from the analysts. Please ask just one question and a single follow-up if needed. Thank you.
Operator: [Operator Instructions] We'll go ahead and take our first question from Manav Patnaik with Barclays.
Manav Patnaik : Thank you very much. I was just hoping you could just address kind of your -- in the near-term visibility more in terms of reactions from your customers with the spread of Omicron, and if you're seeing any change in behaviors or are people just kind of chugging along here?
Todd Schneider : Manav, this is Todd. Thanks for your question. Good morning. At this point, our -- we haven't seen a change in our customer base as a result of Omicron. It's a little early to tell, certainly. But nevertheless, it's -- I would say it's business as usual at this point with our customers, and we're looking forward to the back half of the year.
Manav Patnaik : Got it. And then maybe just as a follow-up, just tied to the other pressures out there, which is inflation, it sounds like you guys are handling that well. You referred to investments in the labor force. Can you just address what that is and broadly how you feel about managing these inflationary pressures going forward as well?
Todd Schneider : Yeah, great question. Inflation is certainly real, but I think we're managing it quite well. We do have a world-class supply chain organization that is a real competitive advantage in these cases. And fortunately, we've been addressing wages over the past couple of years, as we've spoken about in the past calls.  So, we weren't caught flat-footed as it relates to wages. And our -- certainly, our wage increases are still a little above historical, but we're more investing in the infrastructure to be able to service our customers so that based upon our current growth and our anticipated growth, which is -- we're very excited about.
Todd Schneider : Thank you.
Todd Schneider : Thank you.
Operator: We'll go ahead and take our next question from Andrew Steinerman with JPMorgan.
Andrew Steinerman: Hi. It's Andrew. If I try to back into the second half operating margins in the full year guide, I get to 19.1%, which is up modestly year-over-year. And I just wanted to make sure that you do the math the same way as maybe you'd kind of go through some of those kind of puts and takes on the second half operating margins.
Mike Hansen : Good morning, Andrew. Our -- we would say our implied operating margin guidance for the second half of the year is a little bit higher than what you stated at 19.1%. We think of it closer to the 19.5%. And look, we still expect some very nice operating margin growth for the year, even in the back half of the year and even in an environment which is pretty challenging, as I'm sure you're aware in terms of the inflationary pressures.  But as Todd mentioned, we're managing that inflation. We like the margin improvement, and our expectation is we're going to see better than the 19.1% that you referred to.
Andrew Steinerman: And the 19.5% is for the total company, and I assume. And I just wanted to maybe make a comment on increases on the customer side, the B2B increases because you were at a hiatus, now you've [indiscernible] kind of in process of increasing prices to customers and kind of how has that gone? Are they understanding of the inflationary environment?
Todd Schneider : I'll take that one, Mike. Thanks for the question, Andrew. Certainly, on the pricing, one of the things that's important to understand is that we don't simply send out a letter increasing prices to all 1 million customers, all at the same time. We address the issue throughout the year. So you'll continue to see that.  And also, as we said in the past, pricing is -- it's a local subject. Some industries are still struggling, some are doing quite well. Some geographies are still not back to pre-COVID and others are nicely ahead of the curve. Now inflation is -- it seems like it's in every headline and every time you turn on the news. And as a result, I'd say the conversations with our customers are generally going well and our results are a little bit better than historical in that area as well.  But as you know, we take a long-term approach and we focus on the lifetime value of our customers, which, frankly is reflected in our NPS scores being at all-time highs. Now all that being said, in the face of inflation being at a 39-year high, we are growing our operating income and incremental margins at very attractive rates, and we're excited about that.
Andrew Steinerman: Right. And then just confirm 19.5% was total company, right?
Mike Hansen : Yeah. It was a total company against last year of just under 19%. So again, what we think to be a pretty healthy margin improvement. And let's keep in mind, last year's margins were record margins and 310 basis points higher than pre-pandemic levels, so we like where we're headed with this -- with the margins in the back half of the year.
Andrew Steinerman: Well said. Thank you very much.
Operator: Okay. We'll go ahead and take our next question from Hamzah Mazari with Jefferies.
Mario Cortellacci: Hi. This is Mario Cortellacci filling in for Hamzah. Just my first question around labor. Maybe you can just update us just not on the labor inflation portion, but also on the labor availability in your business and kind of how you're managing through that?  And then also, maybe you could tie that through to what your pricing strategy looks like regarding that, especially since you guys really haven't taken any price in the past 2 years, I believe it was?
Todd Schneider : Yes, Mario. This is Todd. As far as labor availability, we're competing quite well out there. We pay a very competitive wage and very attractive benefits. And we think we're an employer of choice. And that's reflecting in our staffing levels, which we like. It's certainly more challenging this year than in the past in general, but we're competing quite well, and we like that. As far as how we look at the pricing? Again, it's a -- you'll see it throughout the year. And it is something that we look at customer by customer. And because, as I mentioned, it's a local subject. And we do look at the long-term value of the customers. But we have -- we're doing better than historical. And the reason being is because it's -- there's a little bit of wind in your sales as far as customers are highly aware of what's going on with inflation in general and wage pressures as well.  But as a result, we think we're in a good spot. I'm very thankful that we have been addressing wage increases over the past few years because it prevented us from being flat footed coming in and being under real pressure.
Mario Cortellacci: Great. And then just for my follow-up. Can you just comment on the Fire business and your strategy for getting into some of the top fire markets that you're not currently in? And do you intend to play in any other adjacencies within the Fire business such as what API Group or other larger players have done in that space?
Todd Schneider : Yes, Mario. As far as the Fire business, we're continuing to build out our footprint. We have found that we very much liked our model that we are providing the service levels to customers. And it's showing up very nicely in new business wins and retention, and you're seeing it in the growth.  As far as adjacencies, we're always evaluating those, but we think there's incredible run rate in that business with the type of strategy we have today without even going into an adjacency, but we're certainly always evaluating this.
Mario Cortellacci: Great. Thank you very much. And I hope you all have a great holiday.
Todd Schneider : Thank you. You too.
Operator: And we'll go ahead and take our next question from George Tong with Goldman Sachs.
George Tong : Hi, thanks. Good morning. Your gross margins contracted 80 bps year-over-year in the Uniform Rental segment. Can you elaborate a bit on margin performance there and what your guidance implies for Uniform segment gross margins?
Todd Schneider : Certainly, George. This is Todd. I'll start and then Mike can chime in. Gross margin in general, is up 40 basis points due to just energy alone, so that's obviously a headwind. I think gas stand-alone is up 60% year-over-year.  But as far as the balance of that, the 70 basis points, we're making investments in the additional employee partners that we need to service the very nice growth that we're seeing along with the growth that we see coming. The revenue now, George, is different -- a little different from last year. It's much closer to our revenue -- our traditional revenue mix. And let me just give you an example because I think it'll maybe help you understand that a little bit better. With PPE last year there was obviously significant demand for that, and we're happy to help our customers with it. But in those cases, in many of the cases with that, they were simply a drop ship to those customers. And when you drop ship, those large quantities, it doesn't take a whole lot of work. It's just a drop ship and then you're able to book the revenue, et cetera. You think of that versus the level of employee partners that is required to service uniforms, facility services, first aid and safety cabinets, it simply takes more work.  However, we welcome this shift as it provides more value to the customers than simply a drop ship. It's stickier business and long-term, they have better margin. So we like it. We like that switch, and we knew that, that was coming, and we've been staffing for it and guiding for it. All that said, as we know inflation is at a 39-year high. As I mentioned, energy is up 40 basis points. Our investment in growth for today and the future. And if you exclude the onetime gain of our operating -- our onetime gain from last year, our operating margins were up 70 basis points and our incremental margins are quite strong.  So we're doing exactly what we had hoped and planned for, I guess, would be the way I would describe it.
George Tong : Got it. That's helpful. Your health care and hygiene businesses have seen a boost in demand with COVID. Can you talk about trends and the broader opportunity you're seeing in health care and hygiene?
Todd Schneider : Certainly. Health care, they're connected, right? But health care is a vertical, hygiene is subject to across all businesses. So as far as the health care vertical, we're continuing to see strong demand. We like what we're providing with scrubs items to help customers clean patient rooms and other rooms in addition to isolation gowns. So all of that is -- we continue to be very bullish about the health care vertical. As far as hygiene, and I'll lump hygiene with sanitization cleanliness, all of that Health and safety. All of that is -- we believe, has been a see change and something that is going to be wind at our sales maybe forever, right, because of you see the focus that people have on sanitizing, hygiene, health, safety. We think we can see that in certainly our Uniform Rental, Facility Services segment, but also our First Aid business. People are very focused on the health safety and wellness of their people and their customers, of their patients and their guests. And as a result, that's good for us.
George Tong : Got it. Very helpful. Thank you. 
Todd Schneider : Thank you. 
Operator: And we'll go ahead and take our next question from Ashish Sabadra with RBC.
Ashish Sabadra : Thanks for taking the question. I just wanted to follow up on the comments that you made on the health care, but just focus on the larger opportunities across the 3 verticals, health care, government and education vertical. I was wondering if you could comment on the pipelines for those larger opportunities. Thanks.
Todd Schneider : Yeah. Ashish, the pipeline looks quite strong for all those verticals. We feel good. Our sales organization is operating at a very high level and we really like our new business wins in that area. Our retention is very attractive.  So you look at all that, you say our new business wins are very strong. Our retention is very strong. And we are excited for our customers to get back to full strength as well. And we think that bodes well for the future for us.
Ashish Sabadra : That's very helpful color. And maybe just talking about technology on the last call, you had talked about the benefits of SAP implementation and more to come. I was wondering if you could talk about what you're doing on the technology front, on the automation front, provide some preview on what we could see over the next few -- next year? And how should that help offset some of the inflationary pressure? Thanks.
Todd Schneider : Yeah. Great question. So obviously, investing in technology is 1 of our top priorities because we see the opportunity to improve efficiencies in our business, operational efficiencies, but also provide items that the customers notice and recognize and make it easier to do business with us. Those are things that we're trying to leverage.  I think a good example of technology that we're leveraging is by leveraging SAP and partnering with a communications company. We have launched what we call Smart Truck technology, which collects and analyzes data to create a much more efficient routing structure. So what this allows us to do is to spend more time with the customers instead of -- and reduce fuel expense instead of driving in between stops.  And as we say, we only make money in this business when the wheels stop. When the wheels are moving, that's just expense. So we see that as an opportunity to leverage technology to improve operational efficiencies. We have -- as another example, we have launched a portal for our customers that allows them to do business with us online, which is a competitive advantage in the marketplace.  What we're seeing is contrary to years ago, people don't always want to do business during normal business hours. What they're interested in is doing business on their time. And what we're seeing is the request that we see from our customers is well over half of their requests are outside of normal business hours. So it's making it easier to do business with us. We allow them to make requests changes to their program. We allow them to pay their bills online. All these are items that the customers see as an advantage in the marketplace being easier to do business with, and we get really excited when customers see a technology advantage and find us easier to do business with.
Ashish Sabadra : That’s very helpful color. Thank you and happy holidays. 
Todd Schneider : Thank you.
Operator: We'll go ahead and take our next question from Andy Wittmann with Baird.
Andy Wittmann : Thanks for taking my question. I guess I just wanted to get a little subjective comments on the new guidance this quarter versus the guidance you gave last quarter. Mike, it kind of looks like the biggest change in the EPS side is just a little bit lower tax rate. On the revenue side, the quarter beat consensus, you don't guide quarterly, but it kind of feels like the fundamental outlook for the revenue and core operating margin for business hasn't materially changed. Is that the right way of looking at it? Or did you see a change in the business fundamentals that you're factoring into the guidance, the updated guidance today?
Mike Hansen : Andy, I think that's a fair assessment from the perspective of not a lot of change from what we had been talking about in the last quarter, and that is growth continuing to be pretty strong in the second half of the year. Ex that big PPE number that we've talked about in the third quarter and a little bit in the fourth quarter, our growth would be in excess of 9%. And roughly the same margins we've been talking about for much of the year and that is we certainly expect margin growth and continue to expect margin growth. If we did hit 19.5% that I talked about earlier, that's roughly a 60 basis point improvement in the back half of the year. That's coming on top of, I'll call it gain adjusted 50 basis point improvement in the first half of the year. And you might remember, we talked at the early part of the year at a kind of a 0 to 70 basis point improvement. And the performance through midway through the year is showing that we're right at the top of that initial guide. And so the movement is a little bit of taxes, maybe a little bit of margin improvement. But generally speaking, your assessment is fair, Andy. Pretty nice growth and a healthy margin improvement on record margins from a year ago.
Andy Wittmann : Yeah. Okay. Thanks for go into that, Mike. I guess my follow-up question then just you talked -- you just talked now and previously in the call, you talked about these margins, and I think they speak for themselves. But -- and you talked about price being a little bit above average. Are there any other things that are driving margin performance besides just price and then the operating leverage from the business?  Are there actions or other investments that you're making that are helping this margin performance? Or is this kind of just the natural progression of price/cost as well as fixed cost leverage?
Todd Schneider : Yeah. Andy, this is Todd. Good question. I think it's the normal operation of the business. We're always investing in various items that help our operational efficiencies. And I mentioned the Smart Truck technology that we think is going to be exciting for us.  But I think it's just the general leverage that we're getting in the face of what is still a very challenging operating environment. And we're, as Mike said, coming off of a record 310 basis point improvement in margin. We're very excited about that, and we're going to continue to take another step forward this year.
Mike Hansen : Andy, I might throw it into a couple of different buckets as well and a little bit of reiterating what Todd and I have already talked about that. Look, our growth is at pretty good levels. And when we grow at those pretty good levels, we get some really nice leverage in the business. And we're seeing that leverage as a benefit, productivity improvements. I mean we've -- from our laundry facilities, to our service and route -- the route improvements that Todd has talked about, to sales rep productivity, productivity is strong and continues to improve as we look at process improvement and innovation and automation. And so productivity is very strong. Efficiencies. Look, we made some pretty difficult cost cuts last year, some changes to our cost structure. And we'd rather not give up many of those. And so while we -- while we'll start to see -- we have started to see a little bit of travel, for example, come in, look, we're still managing the cost structure very tightly.  And maybe then the last bucket I'll throw out there is we've talked quite a bit about resuming pricing and pricing is helping a little bit this year. And so margin improvement, I think we can throw it in those 4 buckets. And it's -- I would say it certainly is leading to some pretty good performance even in the face of 40 basis point increases in energy and other certain inflationary factors.
Andy Wittmann : Yeah. Great. Thanks for the comprehensive answer guys. Happy holidays. 
Mike Hansen : You too, Andy. 
Operator: And we'll go ahead and take our next question from Tim Mulrooney with William Blair.
Unidentified Analyst : This is [indiscernible] filling in for Tim. Thanks for taking questions here. I wanted to hit on margins real quick again. In the Uniform Rental segment, operating margin was down year-over-year, but still very strong relative to historical standards. Is that kind of how we should think about this segment's margin structure from a long-term perspective, maybe down year-over-year because of higher cost inflation, but capable of maintaining '21 margins in a more normalized environment?
Mike Hansen : Well, a couple of points that I might make. First of all, we talked a little bit about the gain on the sale of assets from a year ago. And so if you take that, that was all recorded in SG&A within rental. If you take out the impact of that gain, last year's second quarter was 21.1% compared to our 22% this year. So a 90 basis point improvement. So some pretty healthy year-over-year improvement. Look, we've been in the rental business above 20% for the last 6 quarters. And our expectation is we're going to see a little bit -- because this is such a challenging environment, we're going to see some ups and downs periodically, but generally speaking, look, we like where the business is running in that rental segment. And our expectation is we'll stay above that 20% number.
Unidentified Analyst : Excellent. Maybe switching gears back to the PPE. Earlier in the year, I think you expected a PPE headwind of about 1% in fiscal 2022. It sounds like maybe that expectation could be changing a bit. Can you just update us on what you think the PPE headwind will be for fiscal 2022 here?
Mike Hansen : Well, I think if you take a look at our guidance, for example, for the back half of the year. I believe the -- at the high end, the revenue growth is 7.4% over last year. So if you think about the comment we made of growth being 9% we're talking about 160 basis points in the back half of the year.  So you can think about 80 basis points for the full year. So I would say we're not far from where we talked about early on in the year, but certainly, it's back-end loaded a little bit more.
Unidentified Analyst : Got you. Thanks for the color. Thanks. 
Operator: And we'll go ahead and take our next question from Toni Kaplan with Morgan Stanley.
Toni Kaplan : Thank you. Wanted to ask an ESG-related question. Given the size of your fleet, a shift to electric vehicles seems like it would be pretty meaningful. And so I know in your ESG report, you indicated that by January, you expect to deploy 12 electric vehicles. And so just curious if this programs been initiated? And if you could talk about how we should think about the potential of rolling out this to the entire fleet?
Todd Schneider : Yeah. Toni, this is Todd. Thank you for the question. So yes, we're excited about electrifying the fleet. We are right on schedule as far as what we plan for testing. We have a diverse fleet because of the various types of trucks we have, the rental trucks, the first aid trucks and the fire trucks as well.  But we're working with some very large manufacturers at very high levels, and we're excited about the future as it relates to that. We think that, that is something that's important to our customers, and it's important to our partners and our employee partners, and we think it will be very important to shareholders as well.  So we believe that getting out ahead of this curve is important to us, and we're committed to doing so and dealing with all the challenges that are associated with that -- with the weight of the vehicles that we operate, the size of our fleet and also getting access to the supply, which is why we're working with a diverse group and at high levels. So that way, we're in a good position as an organization.
Toni Kaplan : That's helpful. And one question I've been getting recently is around the ability for you to do large-scale M&A. And some skepticism around that. Do you think that's valid or because of the fragmented market, there's still potential for you to be able to do a large deal? And I'd also say it maybe seems a little harder for deals to get done right now or at least longer to get approved. So just wanted to hear your thoughts around large-scale M&A.
Todd Schneider : Yes, Toni. So just as a reminder, M&A is our second priority of capital use right behind investing in our business. And we're excited about M&A of all shapes and sizes. We're blessed to have a market that is massive in size, meaning, if you think about how many people are wearing -- garments were in uniforms out in the marketplace, it is a significant market. And that's representative of our new business wins that we have. So about two thirds of our -- the new accounts that we bring in are all people that -- are customers that are what we call no programs. Some people in different industry call the unvended. Nevertheless, when we walk in, they don't have a uniform program and when they walk out, we do. It's a little bit more complicated than that, but that net-net. That being said, that's simply the uniform market.  Our other markets are just a vast addressable market, whether it's facility services and all the headwind -- or excuse me, all the tailwinds that are behind that business from health, safety, sanitation, hygiene. Same way with the First Aid business. And in the Fire business, we see it is obviously a massive market just simply because everybody is required by law to have those products and services.  So yeah, I think we're an incredibly good position in all those because of the market size. That leads us to -- we think we're interested in M&A in all of our businesses and are excited about the potential of M&A of small, medium and large because we think the market is such that it is absolutely appropriate.
Toni Kaplan : Very helpful. Happy holidays. Thank you. 
Todd Schneider : Thank you.
Operator: And we'll go ahead and take our next question from Scott Schneeberger with Oppenheimer.
Scott Schneeberger : Thanks very much. Good morning. I'm curious -- this is a question of your average customer in First Aid. Pre-pandemic, what would their cabinet look like? How much has it changed of the items or the contents inside to what it looks like now to the level of detail you can speak to that?  And then how has the pricing and margin profile change of that cabinet? I assume better, but anything you can share on that? And then I'll have a quick follow-up. Thanks. 
Todd Schneider : Okay, Scott. This is Todd. As far as our cabinet, we're constantly bringing out new products for our First Aid cabinet and that is an important component of that business. We offer other services in that business, whether it be AEDs, training and compliance as well as eyewash stations, which are required by OSHA to be serviced appropriately. So all of that is -- we're seeing a return back to a focus on that with our customers, which is exciting to us.  As far as the cabinet itself, besides the new products that we have launched, it's pretty well a traditional type of situation. Now what is changing is the focus on health and safety of employees, customers, guest, patients, those types of things. And as a result, we think that's good for the First Aid business.  And as we've spoken about, the First Aid cabinet business is more predictable, provides more value to the customer than a drop ship type of PPE and is more profitable. So I think as you see that trend of the health and safety continuing and as more people are back to work, then that's going to be very positive for that business.
Mike Hansen : I might add a couple of things. Just reminding you, Scott, that I think Todd mentioned that First Aid cabinet business is up 20% year-over-year in our second quarter. So we really do like the momentum of it. But we're not quite back to the mix of pre-pandemic, but we certainly like the movement towards that mix. And when we think about the gross margin in this business, the material cost really has improved. What you're seeing in this particular quarter is that we're spending a little bit of that improvement on some of the labor investments that Todd talked about in terms of building the service capacity, both for the current growth that we've had, but also for anticipated second half of the year growth.  So really nice performance by our First Aid and Safety partners and the performance is improving just like we expected it to and just like we wanted to.
Scott Schneeberger : Great. Thanks. I appreciate all that color. And the follow-up is on the same subject. You guys are running below what were pre-pandemic peak First Aid and Safety margins. Do you think within a matter of a year or 2, you can get back to the higher level? And why or why not? Thank you.
Todd Schneider : Yes, Scott, this is Todd. So we're very focused on that. We think that revenue mix will be very positive for us. And we also look at the -- as I mentioned, the win behind our sales and the focus on health and wellness of folks out in the marketplace is going to be positive.  So as we continue to focus on that area, net revenue mix rebalances, then I think you're going to see a nice trend towards more traditional tech margins in that business.
Scott Schneeberger : Great. Appreciate guys. Happy holidays.
Todd Schneider : Thank you, Scott. You too.
Operator: And we'll take our next question from Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum : Hi. Good morning. Thank you for taking my questions. Hey, Todd, I wanted to ask you a little bit on the competitive environment. Aramark has been trying to execute a turnaround for the last couple of years. I want to know if does that make a difference to you guys in the market at all. Have you seen a change in terms of competitiveness or in terms that you guys have to be more competitive? Or is the market so fragmented that a change like that wouldn't necessarily filter back to you guys?
Todd Schneider : Shlomo, thanks for the question. It's a good question. The operating environment we're in, it's always competitive. Nothing noteworthy though, I would say, in the change. Our revenue retention rates are very strong. And as I mentioned, our new business wins are very strong as well. And they're coming from those new programmers much more so than the competition. And I just think it speaks to the vast market out there that we're focused on providing that value to the customers.  When we walk in, and I'll just give uniforms an example. When we walk in 1 of the top areas -- type of things we hear back from customers is, wow, I didn't know you could do all that for what you do it for. So they're surprised. One of the other items that we hear is we didn't know that you would be able to service a customer of our size. They might have 10 wearers. And that is something that like an average-sized customer for us, but the perception is, you have to have 100 people, 1,000 people. So we're attacking that market because we see that the customer sees value in what we provide. And there are also -- there's a little certainly wind behind our sales on it's tough to attract talent right now.  So being able to provide a service like this is something that's attractive to people. And you think about how many people are working out in the marketplace and the fact that we can provide that service to tens of millions of more wearers. It's very exciting for the future. And so as a result of how we focus on it, it really -- those competitive pressures, we're more focused on retaining our customers, and we're more focused on growing the market and because it's just so massive.
Shlomo Rosenbaum : Okay. Great. And then maybe this is one for Mike. Just kind of in the other segments, I know there's definitely volatility quarter-over-quarter in terms of the margins just comparing the operating margin this quarter versus the last couple of quarters. And is there something besides -- sequentially, obviously, it's a lower revenue, which make a difference in the margin going back a couple of quarters. Could you just give us some of the puts and takes of what's impacting the operating margin?
Mike Hansen : Shlomo, when you look at Q2 compared to Q1 keep in mind that we referred in the first quarter call to a gain on sale of some assets. So in that -- in the first quarter, there was a $12.1 million gain. So we had a little bit of an anomaly in that particular quarter.  I'd say this. The Fire business has been performing very, very nicely. And we've seen organic growth this quarter of 16.9% and remains healthy. And some of the things that Todd and I have talked about with the first Aid businesses going on in the Fire business in that we are certainly seeing some great growth. And we're investing for both current -- for that current growth but also for anticipated growth. So we're seeing a little bit of the investment there. And then as you know, Shlomo, the Uniform Direct Sale business can be quite bumpy. And so there's going to be more volatility from quarter-to-quarter in this business. But I'd say this as well, 11.7% for the All Other segment is still a pretty good quarter on a 65-day workday quarter relative to pre-pandemic. So again, just like the other businesses, we like the momentum in these businesses and we like the performance.
Shlomo Rosenbaum : You see that extra day versus, say, 4Q '21 is a bigger impact? And just trying to get a little bit more detail completely appreciate the volatility in the Uniform Direct business?
Mike Hansen : The direct -- I would say that the day is more of an impact to the Fire business than it is the Uniform Direct sale. The Uniform Direct sale tends to be bumpy based on -- could be a rollout of a new program. It's just timing of the sales within those current customer programs. That's the biggest volatility item within the Uniform Direct sale. 
Shlomo Rosenbaum : Great. Thank you. 
Operator: All right. It appears there are no more questions at this time. Mr. Adler, I'd like to turn the conference back to you for any additional or closing remarks.
Paul Adler: Okay. Well, thank you for joining us this morning, everyone. We will issue our third quarter fiscal '22 financial results in March. We look forward to speaking with you again at that time. Have a good day.
Operator: This concludes today's call. Thank you all for your participation. You may now disconnect.